Operator: Good morning, ladies and gentlemen. My name is Misty and I will be your conference operator today. At this time, I would like to welcome everyone to the Brookdale Senior Living First Quarter Earnings Release Call. At this time all lines are on mute. We will open the lines for questions at the end of the call. As a reminder, this conference will be recorded for replay purposes. I would now like to turn the conference over to Kathy MacDonald of Investor Relations.
Kathy MacDonald: Thank you and good morning everyone. I’d like to welcome you to the first quarter 2020 earnings call for Brookdale Senior Living. Joining us today are Cindy Baier, our President and Chief Executive Officer and Steve Swain, our Executive Vice President and Chief Financial Officer. All statements today which are not historical facts may be deemed to be forward-looking statements within the meaning of the Federal Securities Laws. These statements are made as of today’s date, and we expressly disclaim any obligation to update these statements in the future. Actual results and performance may differ materially from forward-looking statements. Certain of these factors that could cause actual results to differ are detailed in the earnings release we issued yesterday, as well as in the reports we file with the SEC from time to time, including the risk factors contained in our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. I direct you to the release for the full Safe Harbor statement. Also, please note that during this call, we will present non-GAAP financial measures. For reconciliations of each non-GAAP measure from the most comparable GAAP measure, I direct you to the release and supplemental information, which may be found at brookdale.com/investor and was furnished on an 8-K yesterday. With that, I would like to turn the call over to Cindy.
Lucinda M. Baier: Thank you Kathy. Good morning to all of our shareholders, analysts, and other participants. Welcome to our first quarter 2020 earnings call. I want to start by saying thank you to all those on the front lines fighting to protect and save lives from this devastating pandemic. We are grateful to the healthcare professionals, first responders, public servants, essential employees, and others who are working so very hard. We are also so very grateful for the extraordinary efforts of our Brookdale everyday heroes who are on the front lines taking actions to help protect our residents, patients, and associates. Our Brookdale associates have demonstrated their commitment to serve its leadership through their tireless efforts to serve those in our care and to enrich lives when our precious seniors need us most.  I would also like to thank our tens of thousands of residents, patients, and their families for their support during this precedented time. Given the significant and disproportionate impact of COVID-19 on seniors and that Brookdale is the largest senior living operator in the U.S., we believe we are serving in an unique and vital role during this crisis. Our associates dedication, resilience, and agility has been incredible as we work around the clock to continuously incorporate new information from around the world into our protocols and practices. We are a collaborative organization that is enhancing our approach to this pandemic by partnering with leading hospitals and healthcare systems, government and regulatory agencies, as well as others within our industry so that we can integrate the best thinking and practices into our business to best protect our residents, patients, and associates.  Our emergency command center has been up and running since February and has done a phenomenal job of reinforcing our existing strong practices, educating the communities on new enhancements like monitoring pulse oximeter readings of our residents, researching the most effective cleaning protocols for implementation in the communities, and determining what personal protective equipment or PPE is most appropriate and when to use it. We are also closely monitoring compliance with the rapidly changing federal, state, and local guidelines. We update our policies and procedures to incorporate new information and communicate and train our field teams as quickly as possible. Together, our local, regional, and corporate associates have stepped up to ensure that we are doing everything we can to support our communities and agencies. With communities in 45 states, we are managing through rolling state peaks, which started in the West, quickly expanded to the East Coast, then through Florida and Texas, and are currently growing in the Midwest. Well, we cannot predict how this pandemic will ultimately affect our communities. So far, our precautions have limited the spread of COVID-19. As of the end of April, less than 1% of our residents had tested positive. I am incredibly proud of our associates and cannot express the depth of my admiration for the work of Brookedale's amazing team. We are grateful for individuals who recovered after contracting the virus and we mourn those who were lost to it. Our hearts go out to their families and loved ones. It is truly humbling to care for the most vulnerable segment of the population.  Next, I'd like to talk about our experience of fighting COVID-19 in three sections; Prepare, Act, and Lead. I will start with our preparation. In January before the World Health Organization declared a global health emergency, our team had issued a preventative action plan to our communities. This included a primer about the Corona virus, our strong established flu and infectious disease prevention and control protocols, environmental cleaning precautions, and advised screening visitors and associates who had recently traveled internationally. We started engaging with our network of leading medical centers and professionals to benchmark their efforts in order to compliment the internal expertise of our clinical team.  I am very excited that Dr. Jordan Asher joined our Board in the first quarter with a perfectly timed skill set to augment the existing Board expertise. I already greatly appreciate his deep experience, advice, and strategic insights. For example, as we were preparing our response efforts, we discussed the models surrounding the potential spread of the virus and the implications for our prevention efforts. In February, our emergency command center team increased our level of preparedness. Early steps included Q&A for residents, their families, patients, and associates. Posting a message to self identify symptoms at community entrances and hygiene flyers and videos. We also began increased monitoring of our supply chain to ensure availability of critically needed items. Due to nationwide demand, when our supplier for masks and gowns materially reduced the levels of product that we could buy, we aggressively sourced product from other suppliers, albeit at a large multiple of a cost that we normally pay.  The next series of pre-emptive steps included increasing communication frequency with our constituents, increasing daily observations for symptoms, limiting the size of visitor groups, canceling sponsored outings, and converting our resident engagement from in-person to virtual engagements. As I will mention in more detail, we also began to advocate that policymakers should prioritize senior living when it comes to PPE testing and other critical resources, given the potential impact of COVID-19 to the vulnerable population we serve. Those efforts, which remain ongoing, included numerous communications and discussions with members of Congress, the administration and their staffs, along with state level officials. By early March, we had moved into our second phase action.  As the Center for Disease Control and -- shared new information about COVID-19 we created specific community guidelines, corona virus specific cleaning and environmental sanitation protocols, and for our assisted living and memory care residents. In addition to frequent temperature readings, we incorporated taking pulse oximeter readings. We increased the frequency of our communication with our field teams to guide them through the changing procedures and requirements. We also began creating videos to communicate information broadly with associates, residents, patients, families, and the public. In early March, we posted our first video, a demonstration of the proper hand washing technique to our website. As part of our action phase we posted 19 separate videos during March and April.  By the middle of March, we filed an 8-K to provide our update regarding the pandemic. We were moving from limiting access in select communities to a full no visitors directive except for medically essential and compassionate care visits across all communities. We continued aggressively increasing our supply of PPE and provided direction to our communities on determining the appropriate PPE to use. All associates are now directed to wear masks in our communities. Well, this is just a small selection of the vigilant actions we have taken. It demonstrates our commitment to help protect the health and well-being of our residents, patients, and associates.  The third section is leading in the industry. We are fighting a global health crisis and we strongly believe that it takes all of us working together to try to control the spread of COVID-19. We believe that we were the first senior living operator to launch a website dedicated to providing updates, including video demonstrations of best practices, and messages from our Brookdale leaders. We shared our web link with our peers, reporters, and the public at large. It was very important to us to share our knowledge and ideas with anyone interested, especially for small senior housing operators that may not have the resources that we have.  Our command center and our clinical leader were panelists on Argentum's first webinar for the industry on best practices. From a resident standpoint because connection is so important during this time, we also significantly increased our social media engagement. The likes, comments, and sharing of our content tripled our historic average. In addition, Facebook notified us that after their marketing department saw our programs and content, they selected us to be featured as an exemplary leader of social media for COVID-19 response. We are confident that our early response and communications have helped reduce the spread of the virus and ultimately saved lives.  Another area that became evident early on in this crisis is that our industry does not have a loud enough voice in Washington, D.C. who understands the industry to inform policymakers regarding the senior living industry and its vitally important role in protecting this vulnerable population. Industry wide approximately 1 million seniors live in an independent living, assisted living, or memory care setting. Many have overlooked senior housing's role on the frontline with our infection prevention and control efforts as being part of the healthcare system. Others incorrectly grouped predominantly private pay senior housing communities with largely government supported nursing homes.  Our industry's two largest trade associations, several influential members of the industry, and I as the leader of the largest senior living operator in the U.S., have spent an enormous amount of time advocating for the industry. We have requested priority access to testing kids, PPE and prioritized government financial relief, among other topics. We thank the many government officials and their staff members who continue to listen to our requests and are helping us make progress on addressing the urgent needs of what is truly a clinically essential service industry. Our focus through the unprecedented environment is most importantly to help keep our residents, patients, and associates safe. Secondly, with our strong healthcare infection protocols, we look to keep the reputation of senior living attractive for future residents to consider.  Now let's turn to the financial performance of our operations for the first quarter. RevPAR on a same community basis, increased 2.4% sequentially and on a year-over-year basis grew 2%. However, while we were pleased with this increase, we were looking for higher occupancy in the RevPAR mix. NIC senior housing stabilized occupancy decreased 30 basis points on a sequential basis compared to Brookdale's same community decrease of 150 basis points. In our previous earnings call, we talked about maintaining overall price discipline in the fourth quarter 2019 in advance of the annual price increases, which were effective January 1st. We continued this discipline in the first quarter.  With competitors actions negatively affecting our late fourth quarter move in volume and therefore our starting occupancy for January, combined with our higher non-controlling move outs, we lost more occupancy than expected. In the second half of March, as we restricted non-essential access to our communities, our sales team redesigned the entire sales process, continued to nurture new and existing leads, and nimbly moved to virtual tours. While visits have slowed, we are continuing to welcome move-ins, albeit at a significantly lower volume and mostly for residents with urgent needs.  Our conservative approach to safety may have resulted in fewer tours and sales. However, our commitment to quality and the protection of our residents, patients, and associates is unwavering and remains our top priority. We believe our approach will support a stronger sales story as the economy begins to reopen. Non-controllable move outs were higher than the prior year quarter while our controllable move outs were favorable to the prior year quarter and we have seen the trend continue in April. For the first quarter, RevPAR growth on a same community basis increased 4.3% sequentially and on a year-over-year basis increased 3.1%. Our community teams executed the price increases smoothly.  Let me now turn to our healthcare services business, starting with our home health business. As foreshadowed in our previous earnings call, we expected some noise in the first quarter with the implementation of a new PDGM model and the announced segment Organizational Changes. In January and February we saw sequential census progress, but in the later part of the quarter, key medical referrals dropped significantly as the corona virus spread throughout the United States. With widespread adoption of stay at home orders, various medical procedures were suspended and patients started to cancel their appointments. Our associates are working hard to educate patients and referral sources of our strong screening in order to continue to provide vital services.  Our hospice business delivered 6.7% revenue growth compared to the prior year quarter and maintained census similar to the fourth quarter. We are pleased with the recent government actions to support the home health and hospice industries. First, the 2% Medicare sequestration has been suspended starting in May and for the balance of the year. Second, by law, physician assistants and nurse practitioners will be eligible to certify home health. This expands the pool of available providers to support homecare services; third, the ability to utilize telehealth for hospice recertification.  The last operational topic that I want to address is our associates. Their pictures may not be on the front page of the newspaper, but they are truly our everyday heroes. I am incredibly grateful for the determination and dedication of our team members to crush COVID. For communities, our focus is to give all the support we can. I want to give a heartfelt recognition to our command center team for their extraordinary and comprehensive efforts to build tools, interpret thousands of lines of regulatory and medical documents, create step-by-step guidelines, collaborate with the communities to work through any questions they have, role play through scenarios, and remove barriers identified by the communities.  For individual associates, we are providing PPE at communities bearing their co-pay cost of COVID-19 testing if needed, and all of our executive leadership team have made significant contributions to the associate compassion programs in case individuals need a little help along the way. As unemployment rises in the U.S., we are looking to hire more than 4500 new associates. Many will fill existing open roles and others, like the newly created room service attendant role, will enhance our resident experience during social distancing dining.  Before I turn the call over to Steve, I'd like to address expectations for recovery. As state and local leaders implement plans to reopen business, we are thinking through our own internal decision framework. We support government recommendations that the senior housing industry should be in the final way of the three phase approach. As state and local economies begin to emerge, we will remain diligent to protect our residents, patients, and associates, restrict non-essential access to our communities, while continuing to allow move ins for those residents who can self isolate for 14 days upon arrival.  I have confidence in Brookdale and in the important role our communities will continue to play long after COVID-19 is gone. The majority of our business is needs based and those needs will continue. After the pandemic is behind us, we expect to reorient to a growth trajectory and to be stronger as we have better positioned ourselves as a trusted industry leader with our healthcare referral partners. In Brookdale's 40 plus year history, we've operated through challenging environments, mobilized our teams, and proven our ability to navigate efficiently and effectively in uncertain times. We have the most experienced and resilient team in senior living leading through this storm. With that, I'll turn the call over to Steve for a more detailed update on our financial performance.
Steven E. Swain: Thanks, Cindy. Let me start with a summary of the quarter. Our senior housing financial performance in January and February was in line with our expectations. However, in March as we took higher precautionary measures to help protect our residents, patients, and associates from COVID-19, we started to see an impact on move ins in the last couple weeks of the quarter. Even with the impact of COVID-19, senior housing, same community revenue grew 2% in the first quarter on a year-over-year basis and 2.4% on a sequential basis. In addition to COVID's impact on move ins, our occupancy decreased more than the industry, as Cindy mentioned. We believe our price discipline in the fourth quarter and into this year enabled us to deliver a strong first quarter RevPAR growth with in-place resident rent increases effective January 1st.  Same community operating income, while lower compared to the prior year quarter, improved nearly 4% sequentially, along with a slight operating margin improvement. As expected, our healthcare services segment faced the challenges we discussed on the last earnings call with the implementation of PDGM reimbursement in our home health business. And the pandemic also had an impact on the home health business. On our last earnings call we noted that we were considering increasing opportunistic share repurchases. During the first quarter under the existing program, we purchased $18 million of shares, which is nearly what we purchased in the full year 2019. In light of the ongoing pandemic, by mid-March we announced that we had suspended further repurchases.  During the quarter, we completed the sale of our interest in 14 unconsolidated entry fee CCRC communities and received $100 million of income from the termination of our management agreement. This income associated with the transaction will not recur. I'll focus the rest of my senior housing first quarter 2020 comments on same community results which exclude the impact of the $100 million management termination income and direct costs to prepare for and respond to the pandemic. With those highlights in mind, I will be succinct with the quarterly commentary in order to provide more color on our COVID-19 efforts at the end of the financial review.  Starting with our segments on a same community basis, we performed an in-depth market analysis to look at each of our segments and analyzed detail -- occupancy decrease was more than the industry, our strategy resulted in more revenue growth than our competition after factoring in rate. Let me discuss the occupancy drivers. Independent living move ins improved sequentially in January and February, but dropped in March. Since this segment is frequently choice, not needs driven, it is logical that a pandemic would have a greater impact on IOL. In addition, for the quarter we saw increased move outs related to financial reasons. Financial move outs occur every first quarter after the annual price increase. The lost revenue from incremental move outs due to financial reasons was significantly less than the revenue gained from a higher rate increase.  For assisted living and memory care we saw occupancy drop late in the fourth quarter. Although move-ins accelerated in January and February it wasn't enough to recover for the full quarter. Senior housing, same community compensation related expense was flat on a sequential basis. The 5.8% increase compared to the first quarter of 2019 was the impact of last year's merit [ph] increase, leap year, and higher employee benefit expenses. Excluding the $3 million impact of leap year, compensation related expense would have been an increase of 4.7%. Other facility operating expense increased 3.5% compared to the prior year quarter. The increase was primarily due to digital investments in marketing and advertising. As a reminder, we started our incremental investments in the second quarter of 2019. On a sequential basis the fourth quarter was seasonally lower to avoid the typical holiday marketing blitz.  In summary, for senior housing increases in operating expenses were partially offset by revenue growth. As a result, same community operating income decreased 3.8% on a year-over-year basis, but increased 3.8% on a sequential basis. Excluding the impact of leap year, operating income would have decreased 2.4% on a year-over-year basis and would have increased 5.4% on a sequential basis.  Moving to the healthcare services segment, Cindy provided the drivers of the 15% revenue decline. So let me address the operating expenses. After the episodes that started in 2019 under previous reimbursement rules were completed, in late February we announced adjustments to our operational structure to fit the new PDGM model and go forward business model. With his phased in approach, our structural changes were not fully effective until April. Consequently, there was a revenue expense mismatch in the first quarter.  Turning to G&A, the first quarter was favorable by 3% compared to the prior year quarter. This was primarily due to a reduction in head count in connection with community dispositions. We reported first quarter 2020 adjusted EBITDA of $185 million, compared to $117 million for the prior year quarter. The current year results include the non-recurring income benefit of $100 million from the Healthpeak management termination fee and include $10 million of expenses related to COVID-19 which I will discuss in a few minutes. Without these unique items year-over-year adjusted EBITDA declined $22 million. This adjusted EBITDA decline was mainly due to the $9 million operating loss in the healthcare services business, a $12 million decline related to dispositions and community transitions partially offset by the $6 million prior year impact from the new lease accounting standard implemented in 2019.  Adjusted free cash flow was $5 million for the first quarter. Without the $100 million benefit from the Healthpeak management termination, the result would have been negative 95 million, of which $54 million was due to working capital seasonally high use of cash, a trend similar to the first quarter of 2019. When comparing the first quarter 2020 to the prior year quarter, adjusted free cash flow improved $52 million as reported. Without the Healthpeak transaction benefit of $100 million, adjusted free cash flow would have decreased by 48 million.  Stepping through the variances, excluding the $10 million impact of COVID related expense, adjusted EBITDA results were $22 million of the decline. The $10 million variance in working capital was primarily from increased prepaid expense and the fact that last year's lease accounting change benefit did not recur. Non-development CAPEX was $6 million higher, consistent with the plan we outlined in our last earnings call. Approximately one third of the original CAPEX guidance occurred in the first quarter. This included major projects we started in 2019 and completed in the first quarter along with investments where we expect future lessor reimbursements and approximately $6 million for state taxes associated with the Healthpeak transaction. These drivers were partially offset by a $6 million reduction in interest expense primarily due to lower LIBOR, refinancing debt, and lower lease obligations following the peak transaction.  I will now provide some financial updates related to COVID-19. In the first quarter, we spent approximately $10 million. As summarized on Page 9 of our investor presentation, the largest categories were personal protection equipment, medical equipment, and cleaning and disposable dining supplies. I want to thank our procurement team for their extraordinary efforts to keep our critical supply chain open. We are grateful for their efforts which resulted in our communities having the support they needed. Since these expenses were only for a partial quarter and incremental labor costs were not significant in the first quarter, we expect COVID related expenses to be significantly higher in the second quarter. In addition, we are in the process of testing substantially all of our community residents and associates.  To mitigate these higher costs, we have initiated cost cutting actions, including temporary reductions in marketing spend and canceling events and related travel. We are assessing additional reductions that won't affect business recovery. We have taken and continue to take actions to preserve our liquidity. For example, as previously announced, we drew our available line of credit in March. In mid-March, we suspended stock repurchases and we delayed or canceled some elective CAPEX projects and have made additional decisions in the second quarter. As of March, 31st total liquidity was $536 million, an increase of $55 million from year-end 2019. The increase in liquidity was primarily the result of the beneficial completion of the Healthpeak transaction.  All of the work we've done in recent years to strengthen our balance sheet, renegotiating master leases, sales of a select group of owned assets, selling the majority of our CCRC entry fee business, and multiple refinancing transactions, have put us on a better financial position to weather this pandemic. In addition to our internally driven actions, we are actively pursuing all avenues of relief. Page 10 of our investor deck outlines governmental programs and an estimate of their impact. Due to the rapidly evolving environment, it's too early to provide an accurate estimate of the pandemics impact on the company's full year 2020 performance and financial results. As we track leading indicators and the path becomes clear, we will provide further updates as appropriate. I'll now turn the call back over to Cindy.
Lucinda M. Baier: Thank you, Steve. Our financial results reflect the early, strong, and diligent actions we've taken to help protect our residents, patients, and associates. Given the rapidly changing business environment as a result of the Corona virus, we provided more information including monthly data for the first quarter and events subsequent to our first quarter. This included April month end occupancy at 80%. We are striving to be transparent about the state of our business today so that you can walk the path with us, measuring our progress as we work our way through the complexities created by the COVID-19 pandemic. We look forward to our recovery and to future growth. Even through the toughest times when nearly all states had shelter in place orders, we still had move-in. As testing becomes more available we expect to see an increase in the number of COVID-19 positive citizens. While we expect that that growth rate of COVID-19 positive cases in the U.S. will have new peak, we do believe that our country will learn to manage the risk. As our society turns to a new normal, we look forward to welcoming more patients and more residents into our communities. Operator, please open the line for questions. 
Operator: [Operator Instructions]. Your first question comes the line of Frank Morgan with RBC Capital Markets.
Frank Morgan: Good morning. Appreciate the comments about COVID, and if I did my math right you're probably less than 500 COVID positive patients in your portfolio. Just curious if you could provide any color around where that might be regionally, is it more prevalent in certain parts of the country? And then also, I also appreciate the commentary about April occupancy at 80%, just to parse that a little bit further could you see any kind of variation or change across the weeks of that April timeframe, you've had a lot of service providers commenting about how things sort of bottomed out and might even be inflecting a little bit off of a bottom, so just curious color there? And then the final one, just on -- you commented and you did have move ins during this period, I'm just curious was that a regional thing or was that broad based? Thanks.
Lucinda M. Baier: Thank you, Frank. Let me see if I can answer all of your questions. So first, regarding parts of the country, it's fair to say that when there was an intense community wide transmission of COVID-19 our communities had a bigger impact in those communities. Having said that, we're very pleased that less than 1% of our residents were infected with COVID-19 but certainly higher in those markets where there was a lot of person to person transmission outside of our communities. Second, as we look at occupancy across the weeks, I want to say that I have been very, very grateful for sort of the continued positive momentum of our total number of move outs. You know, I always thought of COVID-19 as something to think about relative to a normal flu season and our death related move outs relative to a normal flu season has been higher than a mild flu season, but less significant or less -- a smaller number than an intense or severe flu season.  And when we look at our total move out, believe it or not, the total number of move outs that we had on a year-over-year basis improved every quarter from February to March and March to April. And so I think that reflects the fact that our residents and families appreciate the strong infection control protocols that we have in our communities. At the same time as you would expect, as the country went into lockdown, there was an impact on our move in. And that's important for a few reasons, but if you think about our portfolio on an aggregate basis, we need to replace about 4.5% of our residents across the whole portfolio. And so for IL that's 2.8% because they have a longer length of stay. For AL it's about 5% because their length of stay is a little shorter than IL. And memory cares are shortest length of stay. So we have to replace about 5.3% of our residents every month in our memory care.  So what we see is that IL is a bit more of a hospitality model. And so move-ins and IL are more likely affected than AL or memory care, which is definitely a needs based move in. But you have to recognize that because IL has a longer length of stay, that occupancy tends to hold up a little bit better when you net everything out. And what we saw is certainly during the initial phases of the lockdown, our move-ins were much more severe. We had to retool our entire sales team going from not allowing visits to conducting virtual tours. And what we see as the economy starts to reopen, we believe that there is starting to be a little bit of light at the end of the tunnel.  Now, I don't want to tell you that our occupancy will increase in May. I don't think it will. And that is because our May occupancy is largely driven by the move-ins that we have during April. And so I would expect during May, our occupancy will continue to fall and then we'll look to see sort of how much of our normal move in volumes that we're able to get as the economy returns to a little bit more of a normal state. So I hope that it is it helpful to you? And then the final thing that I would say is that I think that our actions to protect our residents, we acted early we believe relative to the industry. But I do think that our leadership position will give us a better chance at recovery. And to be quite honest, I'm pleased to report that we had a daughter of a competitor who called us to thank us for the information that I put on our website or that we put on our website because she got information on how to help protect her mom. And that's something that our other competitors just didn't have the same response that we did. And so I think that Brookdale comes out of this a stronger leader, because we've been aggressively communicating with families, we've been aggressively communicating with residents, we've been aggressively communicating with our referral sources, including our referral partners. So thanks for the questions, Frank.
Frank Morgan: Thank you. 
Operator: Your next question is from the line of Steven Valiquette with Barclays.
Steven Valiquette: Hey thanks. Good morning, Cindy and Steve. Let me commend you on all the work you're doing to still provide care on the front lines to the pandemic. Just a quick question here regarding the higher expenses related to COVID-19, I mean it does seem pretty fair that virtually every provider in the industry is likely witnessing the same elevated cost trends, seems to be the case from all the other companies that have talked about their operations as well. I guess I'm curious if there is any sense across the industry that end market pricing with the residents is improving at all or may improve to offset these higher costs, care to give more color on the pricing side of the higher expense? Thanks.
Lucinda M. Baier: Thanks so much for the question. We don't have a lot of information about what our competitors are doing relating to pricing as it relates to COVID-19 specifically. We do think that this is an unprecedented pandemic and there's no question that our costs have gone up as we've had to buy a lot of personal protective equipment. We've had to increase our sanitation expenses and start to deliver meals to our residents in their rooms. And for us actually the costs increased more in the second quarter than they did in the first quarter. The first quarter was really sort of getting that initial supply. We got that in place in March and then as the lockdown continued and we needed to increase labor, we saw labor costs increase in April as well not just from a premium pay that we put in place in select communities, but also from just the time required to screen residents and associates for temperature, residents for pulse oximeter, and just to make sure that our communities were safe.  Now my expectation is that our customer is largely a fixed income customer and so I'm not confident that the incremental costs will be passed on to that customer and that's one of the reasons why we have been so aggressive reaching out to Congress and to the administration for help to support our efforts in protecting our seniors during the COVID-19 pandemic. Now we're very grateful for the support that we've received but that support has primarily been in our home health and our hospice business and that makes sense because the government could look at the Medicare revenues and so they had a good way to push funds out to support those businesses. But because senior living is a private pay business with the exception of our staff [ph]. They just haven't yet seen exactly how to help us. And so we're hopeful there's no guarantee but we're working very hard to see if we can get some government support for all these incremental costs given the heroic efforts that our teams have made to protect the most vulnerable population and to date the cost in senior living has been borne by the operators rather than the seniors and rather than the public.
Steven Valiquette: Okay, one other quick question, just around COVID-19 is that residential real estate could soften a little bit in the aftermath of COVID-19 as far as economic impacts. I am curious if there is any historical rule of thumb for Brookdale for just approximately what percent of residents that are moving in typically need to sell a single family resident first before moving into one of your facilities and how should we…
Lucinda M. Baier: Our experience with residents having to sell a primary residence was much more intense in the continuing care retirement communities and the entry fee business in particular as a note we sold the vast majority of the entry fee communities at the end of January. And so that is less exposure that we have today than we did at the beginning of the year. Now we recognize that most of our residents fund their stay with us through pensions and other fixed income savings and so we haven't necessarily seen that residents have to sell their home to afford our services but we do think that the ability to sell a home and to convert those assets into cash is helpful to us if that makes sense. 
Steven Valiquette: Okay, I appreciate the color. Thank you. 
Lucinda M. Baier: Thanks Steve.
Operator: And your next question comes from the line of Jason Plagman with Jefferies. 
Lucinda M. Baier: Hi Jason.
Jason Plagman: Hey, good morning. Just wanted to ask about how you are thinking about either the timing or milestones that you are kind of monitoring that will indicate when you think you can be comfortable ramping up sales activities or move in might start to increase on a month over month basis or return to a more normal pace is that depending on testing or additional supply to CPE [ph], just wondering what we can kind of -- the milestones that you want to see before we start to resume normal, more normal sales activities?
Lucinda M. Baier: That's a really good question Jason. So the first thing I will recognize is that the 24x7 nature of COVID-19 news create a lot of panic in the U.S. and that was something that I think was difficult for not just our residents and families but also for our associates. So I think that as COVID-19 is not on the news 24x7 that's important for us. I think the second thing is as the economy starts to reopen I think that's good for our business in terms of move ins because as people were sheltering in place at home it was perhaps easier to take care of Mom or Dad when they were home and will return to live at more of a normal activity as not.  Now from an inspection perspective as the economy reopen we have to be very careful to increase our vigilance as there is more community wide transmission. So we take that into consideration as well. But one of the things that we have done is we have announced that we would like to do testing of all of our residents and associates in our communities. We believe that this is important to demonstrate the quality, if there's someone who's impacted by COVID-19 we want to segregate those and prevent the spread of the virus within our communities. But we believe that testing is a big part of the answer.  Now once testing is widely available and to the extent that we can test new residents and visitors and residents and associates in the community I think that gives us a much easier way to open up our communities, because if you know that somebody does not pose a risk to your residents and associates it's easier to let them into the communities. And it's certainly hard to move into a community knowing that you may not be able to see your family other than through a window or a virtual visit. So, I think once we get testing in place that will be very helpful for our business. I think the other thing that will be helpful is understanding how to treat people who do get the virus particularly in our age range. So if there is either a vaccine for there are improved treatment protocols that will help us as well because it's a risk based decision that people need to make. And so all of those things will help us.
Jason Plagman: That's helpful. And then have you seen any early signs of some resumption of more normal sales pipeline in some of the states that have begun to reopen, you know, Florida in fact a couple of your largest states. Just wondering if you've seen any change in the last couple weeks in those states as they began to reopen somewhat? 
Lucinda M. Baier: So most of our move-ins occurred at the end of the month. So I wouldn't want to take any trends from that but what I can tell you is our sales people are much more optimistic today than they were four or five weeks ago and it feels like the economy reopening is allowing things to get to a little bit more of a normal pace. Now I don't want to say that that May move ins are going to be normal because I still expect our movements in May to be down. But I do think that kind of the discussion of the sales team, the tenor of that seems to be improving somewhat.
Jason Plagman: Okay, and then last one from me, as far as the discussion about potential support from Congress, any color you can provide on the potential methodology how that would work, would it be on a per unit basis or just what's being discussed, I'm just trying to think through how any potential funding could be allocated?
Lucinda M. Baier: The allocation to date for the other like hospitals and home health hospice has been done based on revenue. And I think that's because the revenue data was readily available given that it came from Medicare. What the industry has requested is that the relief come in an FTE basis. And I think that recognizes the more intense nature of assisted living or memory care than independent living. So there's a bigger impact for the COVID-19 response. But I can't tell you what will ultimately happen. The one thing that I'm sure about is that there are a lot of people lobbying and a lot of industries trying to get government support. And so until the government decides how it wants to handle it, HHS in particular we just won't know if we're going to get support. And if we do get support how it will ultimately be determined. 
Jason Plagman: Well that makes sense. 
Lucinda M. Baier: Like it -- we're talking about -- if we're talking about Jason, support, one thing I do want to mention and we try to put this in our investor presentation on Page 10, you'll note that we got $29 million of public health and social services emergency fund that supports hospice, home health, and Snif [ph]. And the way that that allocation was done is it was done based on 2019 revenues. Now I'm not sure that we're going to keep all the money that we've received. We're still working through the specifics of what are the requirements for that. So I just want to be clear that even once you get the money there's no guarantee that you get to keep all of it. And certainly the Medicare accelerated, advance payment programs and the payroll tax deferral program those are going to have to be repaid, some over a shorter period than others.
Jason Plagman: Yeah, got it. Thanks. 
Lucinda M. Baier: Thank you
Operator: And your last question comes from Josh Raskin with Nephron Research.
Joshua Raskin: Hi, good morning Cindy. First question just on conversations you've had with REITs and I know you guys -- huge process of doing this in recent years but has there been any more recent conversations around opportunities for terms or flexibility or just any sort of color on what you're hearing from them? 
Lucinda M. Baier: So we've noted that some of the REITs have given rent deferrals for operators that have significant liquidity issues. We have not yet had any discussions with the REITs. But we do recognize that the environment changed dramatically as a result of COVID-19 and so that's something that is recognized. We also recognized that retailers are having discussions with their landlords about rent concessions and so clearly it's something that we have on our radar screen but I can't make any commitments as to what if anything could happen. 
Joshua Raskin: Should I read into that positively that you guys don't feel like you're at the point where you need to have that conversation, is that a fair way to characterize that? 
Lucinda M. Baier: I think it's fair to say that we've got strong liquidity and as you know Steve mentioned that we have taken some very significant actions to preserve our liquidity including drawing our credit line. We were pleased that our liquidity was bolstered by our Healthpeak transaction. We have adjusted our CAPEX primarily because we don't necessarily want to introduce additional risk into our communities but also to help our liquidity. And then we suspended our share repurchase in the middle of March to bolster our liquidity. So certainly we're paying attention to all of those things. But I don't think that we're in the same position as many operators who are trying to figure out how to fund payroll and acquire the supplies they needed to fight the COVID-19 pandemic. 
Joshua Raskin: That's perfect and then just last question from me on the competitive environment/reaction to this. I'm just curious if there's been any marketing across the industry, if everyone just sort of shut it down, has there been any discounting or any actions to try and improve retention or slow down move outs, is it just simply not a price conversation at this point? 
Lucinda M. Baier: I can only speak to us. This is not about price, this is about quality, this is about protecting our residents, our patients, our associates. We provide strong value for the services that we charge and so our approach has been to be paid fairly for the services that we offer. I'm sure there are people in the industry who are discounting but I haven’t talked to them and I think that that would be shortsighted because this is not an issue of price, this is an issue of protecting our nation's seniors and getting good value for the services so seniors can have a better life and have support for the things that have become harder for them.
Joshua Raskin: It's perfect, thank you so much. 
Lucinda M. Baier: Thanks Josh.
Operator: We have no further questions at this time. 
Lucinda M. Baier: So, thank you very much for joining our call today. I am extremely passionate that in extraordinary times like this pandemic our team has demonstrated the strength of humanity through kindness and devotion to our beloved residents, patients, and associates. Our business has been and will continue to be taking care of people, people taking care of people. We are making a difference in the fight against COVID and I am so very proud of our Brookdale team. Thank you. That concludes our call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.